Operator: Good evening, everyone. And thank you for joining us for the AvidXchange Holdings, Inc. First quarter 2022 Earnings Call. Joining us on the call today is Mike Praeger, AvidXchange's Co-Founder and Chief Executive Officer; Joel Wilhite, AvidXchange's Chief Financial Officer; and Subhaash Kumar, AvidXchange's Head of Investor Relations. Before we begin today's call, management has asked me to relay the forward-looking statement disclaimer that is included at the end of today's press release. This disclaimer emphasizes the major uncertainties and risks inherent in the forward-looking statements the company will make this afternoon. Please keep these uncertainties and risks in mind as the company discuss its future strategic initiatives, potential market opportunities, operational outlook and financial guidance during today's call.  Also, please note that the company undertakes no duty to update or revise any forward-looking statements. Today's call will also include a discussion of non-GAAP financial measures as that term is defined in Regulation G of non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today's press release, the company has provided a reconciliation of these non-GAAP financial measures to financial results prepared in accordance with GAAP. With that, I'll now turn the call over to Mike Praeger. Please go ahead.
Mike Praeger: Thank you, everyone, for joining us today. Joel and I are excited to discuss AvidXchange's first quarter 2022 results and the continued momentum we are experiencing across our business, driven by our middle market focus and the four growth gears of our AvidXchange business flywheel that drives our business. Overall, we once again delivered a solid quarter of both operational and financial performance, with results coming in better than our forecast. This is the third consecutive quarter of over 20% organic revenue growth. These positive results reflect the middle market's steady demand for AvidXchange's industry-leading and differentiated business-to-business accounts payable automation software and our payment solutions that are purpose-built for middle market companies. We experienced a strong revenue performance of over $71 million, which is up 29% over the same period last year and higher non-GAAP gross margin exceeding 62% together with lower expenses which led to a reduced EBITDA loss of $5.6 million in the quarter. As a result, we are raising our full year revenue outlook while lowering our adjusted EBITDA losses relative to our previous guidance, which Joel will discuss later in today's call. Our first quarter 2022 results were very much a continuation of the trends we highlighted on our first earnings call back in November of last year. We're seeing our buyer customer demand be broad-based across the various vertical markets we operate in. The Homeowner Association management market, or HOA as we call it, which we highlighted in our last earnings call in March, continues to recover nicely. We also saw a healthy overall growth in both our buyer and supplier customer counts. Separately, we made a small tuck-in acquisition of new customers in the first quarter from PayClearly for a total cash consideration of $7 million. PayClearly operates in the media vertical with a focus on political segment and had a roster of over 40 politically focused media customers, which we acquired.  This acquisition, coupled with FastPay in July 2021, cements our leadership in the media vertical. Continuing with our results during the first quarter, we're experiencing strong transaction volume growth, totaling $16.9 million, which was up almost 16%, with a total payment volume increasing by 41% to $15.2 billion this past quarter.  Our new Homeowner Association management customer Worth Ross Management is a great example of what is driving our growth. As a leader in the luxury high-rise and Homeowner Association management segment with over 100 associations under management, Dallas-based Worth Management was drowning in heavy paper invoice approval and coding processes. Being responsible for the timely processing of thousands of monthly invoices and payments. AvidXchange's purpose-built AP automation software and payment solutions streamlined their manual and paper intensive AP process by eliminating their paper invoices and their paper checks, enabling their AP specialists to be more value added in providing business insights and analysis to their association property managers. The Worth Ross example is also significant in another way as they are also strategic cornerstone customer, given how influential they are in the HOA market. To build on our momentum in the HOA vertical, we also announced the hiring of HOA industry veteran, Michael Pizzico as Vice President of our HOA business. Another powerful example of what is fueling our growth continues to be our strategic channel partnerships. We are excited to have just signed another major preferred strategic partner agreement in the real estate vertical with ResMan, an industry-leading and rapidly growing multifamily property management and accounting system software company. ResMan targets middle-market residential multifamily property owners that manage a portfolio of real estate ranging anywhere from 500 to 5,000 rental units. ResMan today has a base of over 700 buyer real estate customers, utilizing their property management and accounting system features and views AvidXchange as a high-impact strategic relationship, which will enable ResMan to further move upmarket with more robust accounts payable and payment tools to help their highest-value customers manage their dynamic business rules for invoice approvals and payments more effectively.  With this high profile ResMan strategic partnership, we are now deeply embedded with 5 of the top 7 real estate accounting system providers in the industry. In short, our operating and financial results demonstrated strong execution against our long-range business plan of being the de facto standard for accounts payable and payment automation across the middle market. It further validates the investments we have outlined and have made since our IPO. With that, let me provide you with an update on how we are executing against our investment objectives set at our IPO last October, impacting each gear of our AvidXchange business flywheel. In Gear 1, which is delivering a great AP and payment automation software experience to our buyer customers, we are excited to announce the launch of our next-generation procurement and purchase order management tools, which now includes three-wave invoice matching capability. Let me provide some context to why this enhanced functionality for our next-generation purchase order management tools are both strategic to us as well as being high impact to customers. We estimate that a significant portion of the middle market businesses, particularly in the upper end of the segment, have some form of purchase order, or PO as we refer to it, business process already in place today. And many times, this is a paper-based process. In the real estate vertical alone, one of the largest industry verticals, for example, there is an upstream need to better control decentralized spending related to repairs and maintenance through a streamlined purchasing and invoice process. Our next-generation purchase order tools are strategic advancement and an appealing feature set for both new and existing customers, while enabling us to penetrate the horizontal ERP providers further and target new vertical industries, such as the middle market manufacturing segment. This offering, we believe, will further support the tailwinds for customer adoption and achieving our long-term growth objectives. Lastly, the benefit of this offering should also increase already strong customer close rates with key strategic partners who have also seen strong customer demand for this type of functionality across their middle market customer base. Now turning to the second gear of our flywheel, which is focused on maximizing overall transactions on our platform. A key aspect of our strategy is continue to expand and improve upon our integrations to accounting systems, especially those with large market share of those in key verticals. Remember that if we're not highly integrated with a customer's core accounting system and provide them a seamless user experience, it's very difficult to demonstrate the efficiency impact of a fully automated process. In combination with our recently released next-generation purchasing tools, along with our built-in side integrations with our top 4 highly strategic horizontal accounting systems and ERP partners, which include NetSuite, Microsoft Dynamics, Sage Intacct and QuickBooks Enterprise, these next-generation built-in side integrations provide us the ability to ensure that our systems are synchronized real-time with our customers' accounting and general ledger systems along with providing a seamless user experience. We believe that the combination of these Gear 1 and Gear 2 enhancements position us well to expand into new verticals, while giving us a broad beachhead to leverage with our future international expansion strategy, where these horizontal ERP systems have significant market share across the middle market. Under Gear 3 of our AvidXchange business flywheel, which is focused on maximizing the conversion of paper checks to electronic payments with our suppliers, we're excited to recently launch our straight-through processing offering or STP, as we call it. STP is a method of automating virtual card payment acceptance, along with its detailed remains data by integrating the payments directly to the suppliers’ merchant processor and being able to deposit the virtual card funds directly into the suppliers’ merchant account. In 2020, a survey conducted by the AvidXchange research team after adding automatic processing capabilities to our Mastercard virtual card process would increase their acceptance. The result was that approximately 75% of those supplier survey found additional value in a straight-through process, which would eliminate the need for any manual process on the supplier side for the processing of a virtual card payment and the receipt of their funds.  In addition, 67% of suppliers stated that the only way to make virtual card acceptance more efficient is by eliminating the manual touch points and labor previously required to process card-based payments and helping to streamline their reconciliation process. In particular, our existing supplier customers who receive over 25 monthly payments today from the AvidPay Network, but presently do not accommodate receiving virtual card payments due to need for this manual intervention, saw the greatest value. This kind of supplier customer profile also represents over 20% of our check-based payment volume on the AvidPay network today. Of the numerous supplier testimonials that some of the benefits of STP the best is probably Bryce Clark of Capita Lock, which previously was receiving more than 25 checks a month. He stated, I've enjoyed the time-saving benefits so much that I'm willing to pay the regular merchant account rate on those payments. I wouldn't want to go back to manual check processing now that I've seen the benefits that STP provides. So our new STP offering in short provides an efficient and improved supplier experience, along with unrivaled scalability and reliability to drive further adoption of e-payment acceptance from our suppliers and is another tool to increase the conversion of paper check suppliers to e-payment acceptors. And finally, our Gear 4 is leveraging our vast spending and payment data to drive value across our networks. In the first quarter, we launched to a select number of early adopter customers, new functionality that we call Avid Analytics. Avid Analytics helps our buyer customers with ways to better manage and optimize their existing purchasing spend, along with driving additional operational efficiencies around the speed and quality of their dynamic invoice and payment approval workflows that support their business. Through our AvidXchange Customer Advisory Board, which spans across our vertical markets, we've gained intelligent and actual insights into what kind of data is valuable within each of our vertical markets to deliver increased value and improve business outcomes for our customers.  In the real estate industry, for example, in just one use case is with a multifamily buyer customer operating in multiple states and regions now utilizing our Avid Analytics payment dashboard to identify which properties take the longest or shortest time to approve and clear payments based on actuals relative to contractual terms, thereby positively impacting either supplier relationships or increasing their working capital. This new information-rich and interactive analytics tool is built in an easily configured and customer managed user interface, driven by business intelligence capabilities, which creates a dashboard enabling various data filters, which allows our buyer customers to gain valuable insights to better understand their data, spending trends, and real-time measure their business benchmarks and KPIs. In closing, we delivered another set of solid across-the-board quarterly financial results and AvidXchange flywheel metrics, while continue to see strong customer transaction retention. These strong results further reinforce our conviction and plan to achieve adjusted EBITDA breakeven as we exit 2024, if not before, while we continue to take advantage of the significant middle market opportunity in front of us. We maintained a solid balance sheet as we exited the quarter and are well positioned to sustain our operating momentum given the pace of innovation across our platform and the strength of our product suite as evidenced by the 4 gears of our AvidXchange business flywheel. Overall, we're pleased with the results and ongoing progress and look forward to updating you on future earnings calls. With that, I'd like to turn the call over to Joel Wilhite, our Chief Financial Officer. Joel?
Joel Wilhite: Thanks, Mike, and good evening, everyone. I'm excited to talk to you today about our strong first quarter 2022 financial results, which reflect continued execution of our growth strategies as well as our upward guidance revision for full year 2022. Overall, we had a solid first quarter of financial performance. Our first quarter 2022 revenues came in better than our forecast, driven by higher total payment volumes and higher transactions. That, together with better operational efficiencies and lower expenses, contributed to a lower-than-consensus adjusted EBITDA loss in the first quarter of 2022. Total revenue increased by 29% to $71.2 million in Q1 2022 over the first quarter of 2021. Organic revenue growth, which excludes the contribution of our FastPay and PayClearly acquisitions, which closed in August 2021 and January 2022, respectively, was 22.6%. Organic growth is primarily driven by the addition of new buyer invoice and payment transactions, which increased e-payments to suppliers. It's worth pointing out to those that are new to the story that both FastPay and PayClearly, which are media advertising books of business, are more weighted towards both the midterm and presidential election cycles in the U.S. Our strong revenue growth also resulted in total transaction yield expanding to $4.23 in the quarter, up 11.6% from $3.79 in Q1 2021. Roughly half of the increase was associated with improvements in each of software and payments yields with the remaining half being inorganic. Software revenues of $23.9 million, which accounted for 33.6% of our total revenue in the quarter, increased 17.1% in Q1 of 2022 over Q1 of 2021. Software revenues include $100,000 contribution from FastPay. The increase in software revenues was primarily by the growth of total transactions of roughly 15.6% in Q1 2022. Payment revenue of $46.5 million, which accounted for 65.3% of our total revenue in the quarter, increased 36% in Q1 of 2022 over Q1 2021. Excluding FastPay and PayClearly, which together contributed $3.4 million in the quarter, organic payment revenue growth was 26%. The increase in payment revenues was driven by the growth in total payment volume of 40.5% and 35.6%, excluding FastPay and PayClearly. On a GAAP basis, gross profit of $39.1 million increased by 38.9% in Q1 of 2022 over the same period last year, resulting in 390 basis points improvement in gross margin for the quarter to 54.9%. Non-GAAP gross margin increased 300 basis points to 62.3% in Q1 of 2022 over the same period last year, with half of the increase driven by increased total transaction yield in the quarter, the other half from the previously discussed acquisitions. Moving on to our operating expenses. On a GAAP basis, total operating expenses were $63.7 million, an increase of 30.8% in Q1 of 2022 over Q1 of last year, driven by headcount additions to support our growth initiatives, increased expenses in preparation of our transition to become a public company and the recognition of noncash stock-based compensation costs. On a non-GAAP basis, operating expenses, excluding depreciation and amortization, increased 27.5% or $10.8 million to $50 million in the first quarter of 2022 from the comparable period prior year. I'll now talk about each component of the change in operating expenses on a non-GAAP basis. Non-GAAP sales and marketing costs increased by $2.9 million to $16.3 million in Q1 of '22 over Q1 of last year, with the increase driven by the continued investment in our direct and channel strategies to acquire new buyers and suppliers as well as the consolidation of FastPay and PayClearly results. Non-GAAP research and development costs increased by $4.4 million to $18.2 million in Q1 of 2022 over Q1 of last year. The increase was due to continued investment in our products and platform, along with the inclusion of FastPay and PayClearly. Non-GAAP general and administrative costs increased by $3.4 million to $15.4 million in Q1 of 2022 over Q1 of last year, driven largely by expenses in preparation for our transition to become a public company, along with the inclusion of FastPay and PayClearly. Our GAAP net loss was $25.1 million for the quarter versus a GAAP net loss of $70 million in the prior year period, with the comparable reduction in losses primarily a function of expense associated with the amended FT Partners agreement impacting our prior year period results. On a non-GAAP basis, our net loss in the first quarter of 2022 was $14.5 million, down $1.2 million compared to the year ago quarter. On a non-GAAP basis, adjusted EBITDA was a loss of $5.6 million in Q1 of 2022 compared to a loss of $6.5 million in Q1 of 2021, both driven by solid organic revenue growth. Turning to our balance sheet for a moment. I want to touch on a few key items. We ended the quarter with cash position of $523.6 million. The cash is split between cash and investments of $294.9 million, which is mostly in-demand deposit accounts. The remaining $228.7 million is in a basket of financial instruments, including treasury bills, money market funds and commercial paper with a weighted average maturity of roughly 100 days. The weighted average interest rate on our corporate cash position is roughly 30 basis points. Our outstanding debt balance at quarter end was $121.4 million out of our $133.5 million credit facility. And finally, restricted funds held for customers saw a drawdown of $310 million from the end of 2021 to the end of the first quarter of 2022. This reflects normal seasonality between year-end and Q1 ending balances where year-end holidays and seasonal mail disruption can delay some suppliers from processing payments. We think this dynamic was exacerbated somewhat by the further impacts on mail and time away from work caused by the Omicron variant around the year-end. I'll now move on to our updated full year 2022 guidance. We now expect total revenue for the year to be above what we previously provided and in the range of $303 million to $307 million for the year. We are also adjusting our non-GAAP adjusted EBITDA expectations lower to a loss between $35 million and $39 million. We still expect roughly 47% of 2022 revenues in the first half with the remaining 53% in the second half of the year. We expect around 50% of our EBITDA losses to occur in the first half versus second half of 2022. In summary, we delivered strong first quarter 2022 financial and operating results, and our momentum to date is very encouraging.  I'd now like to turn the call back over to the operator to open up the line for Q&A. Operator?
Q - Dave Koning : Yeah. Hey, guys. Thanks so much. And congrats on a good quarter. I guess, first of all, are you seeing much divergence just with the macro conditions right now, just seeing divergence in different verticals just in terms of some doing really well, some starting to slow at all? And just how is that impacting kind of the way you're thinking of things going forward?
Mike Praeger: Yeah, Dave, good to hear from you. So I would say what we saw in the quarter was really good strength across, I would say, a real estate and financial services vertical. Horizontals also performed really well. And really Brightspot also was our bank channel with both Bank of America and KeyBank really contributing nicely during the quarter.  And then the two hardest hit verticals we had during COVID being the HOA and the construction verticals, we saw kind of bounced back nicely over the last two quarters. And so I would say that we're seeing continued improvement across all the verticals versus any headwinds related to the current economic environment and really seen strong both invoice and payment flows.
Dave Koning : Great. Thanks. And maybe just a quick follow-up. Your transaction yield clearly continues to go up with payments volume being strong. But it was only up a couple of cents sequentially in Q1, do you expect that to continue to rise, I guess, through the remainder of this year sequentially each quarter?
Joel Wilhite: Yeah. Dave, this is Joel. It's reasonable to expect that, that's a metric that we think is an important measure of the efficiency in the -- obviously, the yield across both sides of our -- both sides of our network. And we expect that to sort of steadily inch up over time. Keep in mind that we've had good contribution in the past several quarters from both inorganic and organic. And then to sequential, you don't have kind of that inorganic impact. So steady improvement would be the expectation I'd suggest.
Dave Koning : Got you. Thanks, guys. Good job. 
Joel Wilhite: Thank you. 
Operator: Thank you. Next question is coming from Ramsey El-Assal from Barclays. Your line is now live.
Ramsey El-Assal : Hi. Thanks for taking my question this evening. I wanted to ask about your kind of updated view on the path to profitability given the outperformance on gross margin EBITDA. I think Joel mentioned 2024 and then I heard or sooner. I'm just wondering what could kind of pull that moment of profitability quarter. Or is that something that you're now incrementally motivated to achieve maybe given market conditions? But any color you can give us around your thought process that would be great?
Joel Wilhite: You bet, Ramsey. So let me -- I'll take the start and then Mike may want to chime in as well. We were pleased with the results in the quarter. We didn't give guidance for the first quarter, but we did kind of exceed our internal forecast, top and bottom line and also as a result consensus. And so like in our last call, we sort of sharpened up our language around our path to profitability. I would just reinforce what we said before. As we exit 2024, we do expect to kind of be at that EBITDA breakeven point. We were encouraged by the first quarter results, we're continuing to invest. We pointed to the areas of scale that contribute to that breakeven point. Being continued gross margin improvement, G&A as we exit '22 should be kind of full bow public company invested and then R&D in that period of time afterwards. So we feel good about that guidance that we've given already.
Mike Praeger: Yeah. Maybe my comment that you picked up on, Ramsey. We're actually seeing who'd pick up on that comment. But the -- I think it is -- we're just being really -- just is about where we're investing in the business and placing our bets on those items that we really are bullish about in terms of the future growth and probably be a little more streamlined in terms of how we're investing is what I would say just to wrap up to add on to what Joel said.
Ramsey El-Assal : Okay. And a broader question, is there an opportunity to move upmarket? I think down market might be kind of a different business, sort of a big software platform like Bill.com. But it feels like a lot of what you're doing would be just applicable to sort of the larger enterprise. Is there any roadmap, maybe medium-term thinking about moving into -- increasing the TAM by moving upmarket a bit?
Mike Praeger: Yeah. I think that's a great question. And I think maybe we touched that out a little bit in terms of the impact that our next-generation purchase order and procurement tools have. What I would say, however, there's kind of a fine line between kind of deep functionality and enhance purchase order management versus kind of deep procurement spend management, which is more in the enterprise Coupa, Ariba type category. And I think we're naturally attracting bigger customers with some of the enhancements we made to our tools, and we're already having a number of enterprise customers. But I think what I would say is, especially those that are in the service-related categories, maybe non-direct -- with a heavy direct spend, where you need heavy deep procurement-related tools would be more of the flavor of enterprise that will naturally attract is what I would say. And what we're seeing is a number of our historical middle market company -- customers with their growth starting to be enterprise customers.  So we do think that's a natural phenomenon. And that's one of the reasons why we were excited to release our new purchase order functionality to solve those business challenges that a more upper middle market or enterprise customer has related to purchasing.
Ramsey El-Assal : That’s fantastic. Thanks so much for your comments today. 
Mike Praeger: Yeah. Thank you. 
Operator: Thank you. Next question is coming from Darrin Peller from Wolfe Research. Your line is now live.
Darrin Peller : Hey, there. Hey guys. Hey, thanks. Let me just start off quickly on the volume trends we're seeing, which did come in above our model. And when I look at the driving force, I mean, we know there's an element of inflation in the market that's been sustaining. But net-net, I mean, I think there's a -- it at least seems to be that the number of customers is driving more than that, more than the inflationary benefit in terms of upside. And so maybe just touch on what you're seeing in terms of customers' willingness to use your offerings more than before? And then if you can just revisit the cross-sell opportunity in terms of taking your existing customers, land and expand, which is something that I've always spoken a lot about the last three quarters?
Mike Praeger: Yeah, probably. Maybe I can start to add some flavor, and then Joel can add to it as well. I think we -- as I indicated earlier, we certainly saw a handful of our vertical markets exceed our expectations over the course of the quarter, being in specifically real estate and financial services and then the bank channel being kind of the third one. And along with that, in terms of the cross-sell, we talked about construction coming -- really coming back to where it was pre-COVID. But with that, as part of the Core Associates acquisition that we did now a couple of years ago. Yeah, -- if you remember, that was really a software only.  So we acquired a group of software companies that we've been cross-selling into. And we have some great examples with like Marcus Construction and Sorrel Development Corp. over the course of the quarter then along with many others that started to adopt our payment solution to go with their AP automation solution that we had purpose built for construction. So the answer is we're absolutely starting to see it. And probably construction was a real highlight in terms of that cross-sell opportunity during the quarter.
Darrin Peller : Okay. That actually -- that actually makes a lot of sense. I mean, so the vertical-centric reopening obviously is a factor, but there's obviously more traction within certain verticals is what you're saying from a product --
Mike Praeger: Yeah. Exactly. But I always explain to people, not all verticals are created equal and depending on what's happening -- and one of the benefits that we have of having now kind of eight verticals is we see different types of behavior depending on what's going on in the market at different times across those 8, but it becomes pretty diversified.
Darrin Peller : Just quickly now on the guidance change. I mean if we talk about where we are today versus where you were, I mean, it's only been a quarter really. But when you think about the uptick and what assumptions are in there that you wouldn't have expected when you first gave that guide. So in other words, what's outperforming since and what's embedded in the assumption? Thanks again, guys. 
Mike Praeger: I'll let Joel take that one.
Joel Wilhite: Yeah, I'll take that, Darrin. So yeah, we were -- like I said, we were pleased with the results for the quarter. I think versus consensus around 4%, we certainly beat our expectations. And what’s driving that? We really just saw strong fundamental transaction volume growth in the quarter. It’s a bit greater than we expected. And so what we’re really doing with that -- with our guidance revision is bringing up the top line, reflecting what we saw in the first quarter together with reflecting kind of the drop through from an EBITDA perspective and a little bit of a different pace of investment though continued investment in the business for the year.
Darrin Peller : Okay. Thanks a lot guys.
Operator: Thank you. Your next question is coming from James Faucette from Morgan Stanley. Your line is now live.
James Faucette : Thanks. I wanted to build on one of the questions around competition or market. And you talked about like where you're looking at potentially incrementally. But what about in your core market of the middle market? How much is that competitive intensity changed over the last little while? And are you seeing any direct competition and from home typically?
Mike Praeger: Yeah. James, I appreciate the call and -- I mean the question. So what I would say is that really over the last -- certainly since we've been a public company and even a couple of quarters before, really no meaningful change at all in the competitive landscape. Our number one competitor continues to be the status quo paper-based process that companies have. And when we do run into competition within the vertical markets, they're usually with vertical-specific software companies. And with some of the M&A activity, they continue to get less and less. I think we're generally in the segment overall in B2B payments, maybe automation where there has been new competition, it's typically bet at the small business level. And we really haven't seen any new entrants in certainly probably a couple of years in the middle market segment. In the horizontal, which we referred to is really being supported by the NetSuite, Microsoft Dynamics, Sate Intacct type of ERP systems. That continues to be pretty static as well in terms of the same players. And where it's U.S. domestic is where we usually dominate. And when we run into customers who have a significant amount of their transactions being cross-border and international, we may see additional players such like [indiscernible] as an example. But I would say the competition landscape has been consistent over the last year plus.
James Faucette : Got it. Got it. And then when you look at strategic opportunities, et cetera, especially as valuations in the market have changed. Are there things that you can do or that you're looking at from an acquisition perspective that could expand both either functionality or market reach, et cetera? Just kind of how you're thinking about that as a strategic priority, especially with the change in valuations we've seen over the last six months or so?
Mike Praeger: Yeah. That's a real good question. In fact, one we talk about routinely here at AvidXchange. So M&A is a core element of our playbook, typically focused on vertical market expansion and where we can be a payment partner for some of these vertical software companies who have not yet adopted a payment solution.  And unfortunately, there's not many, many players that have any scale. So the industry is kind of littered with lots of smaller kind of subscale companies that do provide that type of opportunity for us. However, I would say that based on the conversations we've been involved in the last six months, I don't think the kind of the valuation adjustments that we've seen in the public markets has made their way into certainly the private markets for the companies that are in our segment. So we -- my expectation is that we'll probably even see kind of more deal activity as we go into the second half of this year to '23 than we're probably seeing today.
James Faucette : That’s great. Thank you very much. 
Mike Praeger: Yeah. Thanks, James.
Operator: Next question today is coming from Will Nance from Goldman Sachs. Your line is now live. 
Will Nance : Hey, guys. Good evening. Wondering if we could talk about just kind of the inflationary environment that we're in and whether it's having any impacts on customers' willingness to kind of pull the trigger? Mike, I know you've talked a lot about sometimes a limiting factor. It's just pace of customer adoption in the middle market and needing that catalyst to get them over the edge. Wondering if there's anything in the market that you see as an opportunity to maybe push a couple of more customers over?
Mike Praeger: Yeah. I think it's a good question. Typically -- and I would kind of bucket it maybe in the combination of kind of inflationary more kind of threat of the recessionary type environment. That usually puts caution in the CFO's mind in terms of wanting to add additional headcount to these back-office processes.  And so historically, when we run into this situation in, I think 2007, 2008 as an example, we did pretty well in terms of CFOs wanting to use technology to automate and scale their business versus hiring more human beings. And so that's certainly a lever that we lean into. And so we expect that, again, as the kind of the economy goes, there's different messaging that we use that we know based on our experience has worked in the past, and that's certainly one of the levers that we expect to use if the economy does continue to erode.
Will Nance : Got it. That's helpful. And then I was just wondering if you could talk about any trends that you've seen recently in the pace of electronic payment adoption? Anything that you guys have done? I know you've talked a lot about some of the things you've done with customer interchange rates on the virtual card side. What have you seen on kind of the enhanced ACH side? And what are your -- any expectations longer term about where the mix of payment trends and any levers that you guys have to accelerate that?
Mike Praeger: Yeah, that's a great question. I mean, I think I'll start by piggybacking off some of the comments that I made during my opening statement related to our straight-through processing, or STP functionality that we've rolled out quarter. We think that, especially for higher volume type of suppliers, that this is a great tool to have them move to become card-accepting where historically, they haven't because of the manual nature of the process as well as the manual reconciliation. And so -- but I think, generally, what we've said is that we continue to grow aggressively our standard virtual card or our standard AvidPay Direct, which is our ACH plus programs. But where we're going to really get to accelerating that supplier adoption, I believe, is when we start -- and I should say, continue creating different types of value propositions with different payment methods, combined with different methods of distributing the remains data, combined with different pricing mechanisms to clearly create that unique value proposition for certain subsets of suppliers.  And that's absolutely what we're doing. We've created some specialized sales teams on the supplier side to focus on those type of opportunities. And it's not one size fits all. It's going to be creating these kind of custom -- I should say, it's not custom by supplier per se, but really kind of customary payment modalities with data, with pricing for different subset of suppliers as we think is a winning strategy.
Will Nance : Got it. That’s interesting. I’ll hop back in queue, but appreciate taking question today. 
Mike Praeger: Yeah. Thanks, Will. 
Operator: Thank you. Next question today is coming from Andrew Bauch from SMBC Nikko Securities. Your line is now live.
Andrew Bauch : Hey, guys. Thanks for taking the questions. Maybe to dovetail off of Will's question there. I mean in this type of environment, are you seeing any increased demand for Invoice Accelerator? And maybe the CFO has become more net working capital conscious. And just a broader update on where that offering is and your plans for the next year.
Mike Praeger: Yeah. So first of all, your first part of your comment in sites that we're seeing kind of increased demand. I think the absolute -- the answer is absolutely. And that's one of the reasons why we're very focused on. As I kind of referenced kind of on prior calls, this year is about building what we refer to as Invoice Accelerator 2.0, which is kind of the next generation of our Invoice Accelerator offering which incorporates all the latest kind of data science and algorithms that determine eligibility in terms of how we use the historical data to really determine the underwriting eligibility of invoices and incorporating those components along with really a voice of the supplier customer in terms of additional feature sets that they would like to see in this type of offering. And we are on pace to deliver that over the course of -- or I should say, work on it over the course of the year. So we can really begin scaling that program as we go into '23 is what our expectation is. But the -- and probably the current environment is even kind of got us even more excited about the opportunity around Invoice Accelerator because of the value proposition of those subsets of suppliers.
Andrew Bauch : Yeah, absolutely. And quoting in on the media vertical. I mean, I know the FastPay was a key asset in helping you gain penetration into that vertical? And ahead of this political cycle and really two to three months away from political ads starting to ramp up materially. I know you guys have been investing in that offering. And maybe you could just give us a highlight of the investments you've made and any shift in your expectations on what media can do for you?
Mike Praeger: Yeah. I think as I talked about a quarter ago, we launched our new specialized kind of political -- call it, political plus payment offering for political media type customers. There's a different business process that political payments go through just because of the nature of having to be kind of real-time delivered to meet certain kind of production timing and things like that. And so yes, we're bullish about that segment. The PayClearly acquisition of kind of 40-plus customers was a nice tuck-in because you really saw PayClearly as the other player in the political side. And so we believe that we're not the standard as it relates to political payment management for media companies and certainly looking forward to the upcoming political cycle. Like everyone is -- probably the challenge is that it's really hard to kind of forecast what political spending is going to do in any particular year. But we're certainly kind of excited about the value proposition that we're delivering and the solution set that we have for political media companies, and we expect to see good adoption as we go into the upcoming political season.
Andrew Bauch : Yeah. It's pretty rare to say that somebody is looking forward to the political cycle, but best of luck.
Mike Praeger: Yeah, exactly. Probably, we're the opposite of when most people think about having a nice -- having everybody get along and like each other. Probably, we'll do better as the political season heats up for sure.
Andrew Bauch : Got it. Thanks, Mike. 
Mike Praeger: Yep.
Operator: Thank you. Your next question today is coming from Josh Beck from KeyBanc. Your line is now live.
Josh Beck : Hey, team. Thanks for taking question. 
Mike Praeger: Hey, Josh. 
Josh Beck : I wanted to ask just a little bit about the return to in-person travel, certainly, that's one of the things that has really changed in the last three months and very likely is going to continue. How much has that helped sales productivity pipeline? Just curious on some of those intangible impacts that you're seeing.
Mike Praeger: Yeah. I think you may win the gold star for tonight because that's one of the questions that I'm most excited about is one of the -- I think we've been referring to it is small business adoption really was pretty robust during COVID. But in the middle market segment, CFO, senior finance leaders, historically have liked to really have conversations. A lot of these happen at all the different industry conferences and trade shows related to the different user conferences of the accounting systems, for example. And during COVID, those type of conferences went to zero. Last year, we started seeing a rebound. We attended 30 roughly of these in-person events. And this year, we have in the calendar over 130. And so we've seen a significant ramp-up of kind of that lead generation coming from these in-person events. And so that's one of the things I think we're really excited about in terms of coming out of the COVID season, CFOs are getting back to attending these conferences. They're really focused on, as they're getting their teams back in the office, taking on additional automation projects. And so that's one of the things that we're excited about, and we're already starting to see that pipeline momentum occurring with many of these in-person events.
Josh Beck : Well, it's great to hear. And shifting gears maybe a little bit to the gross margins. They've really expanded nicely year-over-year. It's really in my mind, one of the more straightforward models when you think about expansion and certainly the digitization of electronification of payments. Just help us think through that trend, maybe if not quantitatively, just qualitatively as we move through this year and into the midterm?
Joel Wilhite: You bet, Josh.
Mike Praeger: Yeah, I'll let Joel take that one.
Joel Wilhite: Yeah, maybe I'll take that one. So great question. We've talked about maybe starting with just linking back to the way we've talked about the shape of the company as we sort of looking forward to that EBITDA breakeven point towards the end of -- the end of '24. That gross margin, sort of steady gross margin expansion is an important part of that. And we are pleased with the first quarter results expanding year-over-year margin 300 basis points.  We've talked about the path from here to that breakeven point as sort of getting from low 60s to high 60s sort of that 70% non-GAAP gross margin ZIP code. When we talk about the way we get there is roughly two thirds revenue yield, one third unit cost improvement. Not necessarily linearly, not necessarily exactly in a quarterly sequence, but that's generally how we expect to get to our gross margin target at that breakeven point. I think, again, we're pleased with the first quarter.  The one other thing that I'll remind you is that we have said that gross margin improvement that we've seen really nice quarter-over-quarter for the past several quarters. While we'll continue to see that gross margin expansion, we have sort of suggested that during 2022, that expansion might be a little bit more moderated than in the past in light of kind of that -- the move fully to the public cloud and some sort of duplicative costs running through the cost of revenue during the year, but excited about having put up good margin expansion in the quarter, and we'll expect to continue to do that going forward on the way to breakeven.
Josh Beck : Well fantastic. Thanks, Mike. Thanks, Joel. 
Mike Praeger: You bet. 
Operator: Thank you. Your next question is coming from Bryan Keane from Deutsche Bank. Your line is now live.
Bryan Keane : Hey, guys. How are you doing?
Joel Wilhite: Hey, Bryan. 
Mike Praeger: Doing great. 
Bryan Keane : Joel, I just want to ask you on organic growth. It was up, I think, on my count, maybe 210 basis points over last quarter. I think last quarter was about 20.5% organic revenue growth. I think it was 22.6% this quarter. So a pretty good improvement there. How much of that is cyclical versus secular in the business model? Would you break it down that way?
Joel Wilhite: Yeah, I really wouldn't place it that way. I think I'd just go back to what -- when I explained kind of what was behind the beat, what was behind sort of the strong quarter was really a broad-based across verticals fundamental underlying transaction growth. And so we did -- we did see that strong growth in the quarter. And so that's what I would attribute that kind of organic growth rate step up, too.
Bryan Keane : And then for the full year, what kind of organic growth is embedded in the guidance?
Joel Wilhite: So if you take our revised range is $303 million, $307 million. So basically, think of in that midpoint $305 million which is about 23% overall growth. If you take into account kind of the fast pace for a couple of quarters before we lap and then a little bit of PayClearly, you're right around 20% on an organic basis.
Bryan Keane : Got it. All right. That’s all I have. Thanks guys. 
Mike Praeger: Thanks, Bryan. 
Operator: Thank you. Your next question is coming from Tien-Tsin Huang from JPMorgan. Your line is now live.
Tien-Tsin Huang : Hey, thanks so much. You guys have covered a lot already. I just wanted to clarify, I think, Darrin and Josh asked this. But just with the upgraded revenue outlook, and the narrowed EBITDA loss by more than the revenue change. How much of that larger EBITDA dollar improvement is a function of the higher gross margin? It sounds like it's going to be more moderate, but versus the operating expense efficiency or timing that you talked about, Joel, just trying to make sure I got all that.
Joel Wilhite: You bet. Like you said, the about -- at the mid, about a $6 million raise on revenue and then about $8 million at the midpoint EBITDA. So basically, you've got the revenue drop through. But also think about we've got to beat in Q1 and a different pace. And so like we're still investing across the business. And so I'm not suggesting that we're at that scale point, but we have seen sort of opportunities, as Mike mentioned, just be disciplined about our operating expense growth. And so taking that first quarter beat and looking at the shape of that operating expense growth throughout the year together with the revenue raise is really what you're seeing on the bottom line.
Tien-Tsin Huang : Understood. And then just a quick follow-up. Just I heard strength in bank channel and sort of the partner channel, given what we know about the macro and I know there's a lot of uncertainty and whatnot. I mean, do you see maybe that changing gears a little bit in terms of desire to push product more through here? Just curious how that gets influenced if at all, by the macro uncertainty?
Mike Praeger: Well, I would say that our channel partners are all pretty bullish. And if you think of it from a standpoint of -- on the ERP software side, we're a key element that allows them to sell more of their systems, right, because we're deeply integrated and embedded into their ERP system. So they view that we're kind of a key leverage point for them to sell more product.  The same thing in the bank channel, as traditional treasury products get more difficult, this is really a differentiated product for our bank channel partners to sell to their middle market customers. And so I think we're seeing even more excitement about people wanting to get trained and understand how to sell more software-related solutions than other bank products than we've seen historically.  And so I'm not sure if that's a sign of kind of economic times in terms of being harder to sell other more treasury products or not, but we're certainly seeing the interest from the channels to -- for sales reps to want to get more training, and to really lead into how they introduce more customers to our products.
Tien-Tsin Huang : Got it. That make sense. Because have good night and hope things are good in Charlette 
Mike Praeger: Thank you. Thanks, Tien-Tsin. 
Operator: Thank you. Next question is coming from Timothy Chiodo from Credit Suisse. Your line is now live.
Chris Zhang: Hi. This is Chris Zhang on behalf of Tim Chiodo from Credit Suisse. Thanks for taking question. You've discussed the percentage of monetized transactions potentially going up to 70% over time as you continue to penetrate your transaction base today. So what's the rough split of virtual cards versus AvidPay Direct in the incremental monetized transactions you're seeing? And if you think about the 70% to -- 60% to 70% level as a goal, what are you -- what's the rough split of virtual card and enhanced ACH you're thinking?
Mike Praeger: Yeah. So maybe just there's probably a number of kind of subsets of a question you asked in that one question. So first, I have a good memory in terms of kind of what I said in terms of kind of long term at scale, were expected to be in terms of that 70% number and going from roughly 40% today to that number. I think it's going to be a lot of combination of things that we talked about. Darrin asked a similar question. And for example, what we recently launched in terms of our straight-through process is a good example. For now we've created a different value proposition for that supplier in terms of taking their labor components out of their card acceptance. And that now has opened up another segment of suppliers that we can convert the virtual card.  So we haven't really seen any changes related to overall adoption. We're adding thousands of new suppliers in both virtual card and AvidPay Direct every month. And -- but we do continue to see probably the growth rate of AvidPay Direct continue to slightly outpace virtual card, but it's also starting at a smaller base.  But I would say that we think that the -- having kind of all the arsenal that we have on the AvidPay Direct where we can really control the pricing, we can deliver it in a straight-through manner, all those type of things is one of those levers that really starts to create significant supplier adoption as we kind of move forward.
Chris Zhang: All right. That makes a lot of sense. And just a quick follow-up related to the electronic penetration in new vertical market entrants. When you think about the potential new vertical markets, does the level and the type of electronic payments penetration factor into your consideration?
Mike Praeger: Does potential payment penetration impact our choices of verticals?
Chris Zhang: Yes.
Mike Praeger: Yeah. So I would say, yes and no. I mean the #1 thing that probably drives organic growth in new verticals is where we're naturally seeing influxes of customers coming to us. And so if you look at, for example, our last three organic verticals being health care facilities, education and social services have all been driven by one day, we realized that looking in the last 18 months, we've had 50, 60 long-term care centers come to us, be really successful with our product, let's look to actually formalize a vertical around that type of customer set. And so I think we -- that's kind of how organic verticals have been driven in the past. And then our -- through M&A, that's more opportunistic in terms of other verticals like we did with media, which certainly was a nice opportunity with the FastPay acquisition.  So I would say it's more driven by those dynamics than kind of where we see kind of card acceptance because we pretty much have seen our ability to get good, both card acceptance and AvidPay direct acceptance has been across really all the verticals we've operated in. So we have kind of high conviction that we can have the right discussions with those suppliers regardless of the vertical.
Chris Zhang: Thanks very much for the color. And congrats on the great quarter.
Mike Praeger: Thanks. We appreciate it.
Operator: Thank you. Next question is coming from Brent Bracelin from Piper Sandler. Your line is now live.
Brent Bracelin : Good afternoon. Thanks for taking the questions here. Mike, you've operated this business for 20-plus years, lived through a few cycles. So I'd love to kind of pick your brain a little bit just as you think about prior cycles. The Fed tightening cycle in '04 to '06, the Great Recession cycle in '08, '09. Are there certain verticals that you serve that are more impacted? Is it -- should we think about it more as impacting pipeline, but TPV isn't impacted? Just love to pick your brain here as we think about the unknown, but we're getting questions unknown. But I'd love to understand like in your world, you've seen lots of cycles. How do you think these different portfolios play out?
Mike Praeger: Yeah. I remind our team about that a lot, that we have the -- especially with some of our younger teammates, who never lived through one of these cycles try to give them a little history less than here what we've seen in the past at AvidXchange. Probably the first cycle that was the most painful one that you left out was kind of the dot-com cycle, which is kind of when we got started. But what I would say is that generally, in these cycles, we've done really well in terms of kind of customer adoption. Because usually, what happens is there comes really a tightening around adding headcount across -- it's really across all verticals. And that plays really well into using automation to do more with less. And -- and so that dynamic has played well for us. Where we've seen maybe some of the impact on flows is maybe changes in spending related to, let's say, average transaction sizes. Because typically, for most of our customers, the amount of payments and transactions as we made relatively static, especially in a lot of the industries that we're in. If you think about it in real estate, for example, you have the landscaping bill every month regardless, right? You have the utility bill, you have the window washing bill. Now the amount of those bills may fluctuate a little bit, but you still have those bills to process every month. And what's interesting about it is in the increase in inflationary environment, that's actually a positive in terms of helping us with average payment sizes as the general cost of goods and services go up, so due to the average payment sizes. So it's going to be interesting to see kind of how those two kind of play off each other in this particular cycle. But what I would say is that we've typically done pretty well utilizing the current environment in a more challenging economic environment to our advantage. And we expect to do the same thing in this cycle. And I think especially coming out of COVID, we're really seeing some kind of really strong interest just in the last two quarters with now CFOs attending these in-person conferences and really leaning into how do I use technology to move everything to the cloud to automate my back office, so I don't have to add headcount going forward. And that's a positive message for us. It's certainly an easier message in a challenging environment than when things are going really well because then it's just -- it's easier for these companies just to add headcount to support a business process and not do the hard work and try to change it.
Brent Bracelin : Totally makes sense. That's helpful color, Mike. I guess, Joel, just a quick follow-up for you. As you think about some of these inflationary pressures, we're now starting to see some technology components start to consider price increases. What's your thought? Is there a thought process around raising price at some point as your underlying cost lever go up? Remind us when the last price increase was and are you evaluating price increase kind of going forward?
Joel Wilhite: Yeah. I'll take a quick crack at it. So we -- first of all, remember, we sell our software to buyers in kind of normal multiyear software contract. And most of those contracts afford routine CPI increases. And so that's been a part of our playbook all along. That said, we've also -- I think, the most recently, maybe 18 months, two years ago, sort of across-the-board unit increase for those transactions to buyers. I would say, certainly, in this environment, we're looking at all of our options, and we consider that balancing with making it just sort of a no-brainer ROI for a middle market CFO to adopt AP automation.
Mike Praeger: Yeah. And along with that, the only thing I would add is we also believe we're consistently adding to the value proposition in terms of enhancing our offerings to further justify price increases. So it's not just that our costs are going up, we also believe we're delivering an increased value proposition to our customers.
Joel Wilhite: Totally make sense. Well, thank you, guys. 
Mike Praeger: All right. Thanks. 
Operator: Thank you. Our final question today is coming from Michael Funk from Bank of America. Your line is now live.
Mike Funk : Yeah, thanks very much. Mike Funk on for Brad Sills at BofA. I appreciate the question tonight. I think one of the major concerns on the market right now is a visibility into revenue into profitability for 2022 and 2023. I mean, I assume when you model, you probably stress test your assumptions in that model. So how does that standard deviation look when you stress test for a more negative scenario, recessionary scenario versus a blue sky scenario, what does that boundary look like?
Joel Wilhite: Yeah. I mean maybe the first thing, great question. And again, we've -- for those who are close to the story and following along with us, we have a highly recurring, highly visible revenue model, right? The underlying payment AP files that are coming from our buyer customers very predictable. I think -- look, I think we've got some good -- a few quarters under our belt, good track record of sort of running our forecast. And you're right, we look at a range of risks and opportunities across that forecast and so far feel good about kind of the machine that we predict the business. Again, remember, when we sell a buyer, there's a period of time, during which implementation occurs, there's a subsequent period of time during which full adoption occurs. And so when we're thinking about what it takes to deliver the guidance that we've put out there today, there's very little go get that needs to happen to get to that number for the year. And what we're really focused on selling is really building that revenue the next year to those two large degree. So feel good about kind of our forecasting methods.
Mike Funk : Now that’s great answer guys. Thank you. 
Operator: Thank you. We've reached end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Mike Praeger: Thanks. So first of all, I just wanted to thank everyone for your time today and for some great questions. We’re passionate, as you probably heard in terms of helping our middle market customers every day and really excited to kick off the year with a great start and look forward to talking to you next quarter about our continued progress in executing the year. So with that, operator, you can end the call.
Operator: Thank you. That does conclude today's teleconference. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.